Ignacio Arambarri: Good morning, ladies and gentlemen. First of all, we would like to offer a warm welcome to all of you who have joined us today for our 2021 fiscal year results presentation. Secondly, we wish you a healthy year 2022 for all of you and your families. Now going to the reason why we are all here, our 12-Month Results Presentation which will follow the normal format. Firstly, we will begin with an overview of the results and the main developments during the period, given by the senior executive team that we usually have with us: our Chairman and CEO, Mr. Ignacio Galan; Mr. Armando Martinez, Business CEO; and finally Mr. Pepe Sainz, CFO. Following this, we will move on to the Q&A session. I would also like to highlight that we are only going to take questions submitted via the web, so please ask your question only through our web page www.iberdrola.com. Additionally, I would now like to ask you to focus your questions on the 2021 results, because our big financial magnitude for the next years will be released on March the 22 at our Capital Market Day to be held in London. Finally, we expect that today's event will not last more than 70 minutes. Hoping that this presentation will be useful and informative for all of you. Now, without further ado, I would like to give the floor to our Chairman and CEO, Mr. Ignacio Galan. Thank you very much, again. Please, Mr. Galan.
Ignacio Galan: Good morning, everyone, and thank you very much for joining today's conference call. In 2021, net profit reached €3,885 million, up 8%, beating once again our expectation. Reported EBITDA grew 20% to €12 billion, thanks to the strong operating performance in the United States and Brazil, along with growing incredibly in all countries. More than offsetting the negative impact of higher spot prices, we were far above the prices fixed at which we had previously sold the energy to our customers. This affected to our retail activities in Spain and U.K. in the international. Investment reached new record of €9,940 million, more than previous year 3% more. We installed 3,500 megawatt of renewable capacity and we have 7,800 under construction. Then we will provide additional growth in the near future. Of this capacity under construction, 2,600 correspond to offshore wind power in United States, France and Germany. As we will see later, over the year we have accelerated offshore wind expansion worldwide with new project like Commonwealth Wind in Massachusetts, East Anglia ONE in the U.K. and Wikinger in Germany, giving more visibility to our growth in the next decade. In Networks, we have also accelerated investment in all geographies adding €2 billion to our regulated asset base, has reached €33 billion already. We have combined this expansion investment with a strong financial position. This along with our resilient business profile put us in a balanced position to navigate the current macro and commodity scenario. 18% of group debt has fixed rates. About half of our operating margin is automatically protected from inflation as a result of regulatory frameworks and contracts within the excess prices. And for the remainder, we expect market prices to reflect increasing cost. In addition, our major supply contract for 2022 are already closed with fixed or hedged prices protecting ourselves for any potential duration of price shock in the global supply chains. This set of result has allowed the Board of Directors to propose the Annual General Holders' Meeting total shareholder remuneration of €0.44 per share, with an increase of close to 5%, in line with our guidance and beyond the targets included in our long-term plan. EBITDA reported is up 20% to €12 billion even after a negative FX impact of €169 million. In Networks operating profit grew in all our countries driven by the expansion of our regulated asset base both in transmission and distribution. The new tariff in all countries mainly in United States where Iberdrola Group reflect the full year impact of the New York rate case approved in November 2020. And finally, EBITDA increase in Brazil led by the tariff adjustment and reviews the contribution of new transmission investment and the integration of the Neoenergia Distribuição Brasilia. As our CFO, Pepe Sainz, will explain in this result, we are reporting all energy production and customer activities combined to better reflect the dynamics of these businesses as most of the newer production is sold to our own customers at fixed prices. The increase in EBITDA of this business, was driven by additional offshore production by up 26% mainly due to East Anglia one offshore wind farm fully operational in UK, a higher onshore output led by the increased load factors and capacity addition over the last 12 months despite low wind factors in the UK and the United States. Also results reflect the positive impact of reversal in court of levies unduly paid charges in Spain in previous year. These factors were partly offset by the impact of wholesale and retail market dynamics, driven by high gas prices as Iberdrola maintained the fixed prices previously agreed with our customers, in the context of increasing energy costs. In fact, if we have not maintained our commitment to customers and we had sold our production in the spot market, result would have been higher by billion. So no wind profit, we have already had in our accounts. In the UK, we also suffered the impact of a price cap that is in reality become a price floor in the market at least did not reflect cost. This has driven more than 30 retailers to go bankrupt in the country as probably you know. We expect an increase in the cap defined by the regulator will have to normalize the situation although, it is still insufficient. Investment in 2021, reached a new investment record with €9,940 million 3% up versus 2020. Close to 90% of this amount was invested in Networks and Renewables almost equality split. Biographies investment increased heavily in Brazil both in networks with integration of Neoenergia Brasilia and further expansion in our transmission and distribution as rebates and renewables where investment multiplied by three due to the acceleration of the onshore wind project. In Renewables, globally we have added 3,500 renewable megawatts in the last 12 months increasing our total renewable capacity by 9% to more than 38,000 megawatts. This capacity addition include 1,150 megawatts of new offshore wind farms in all our geographies mainly Brazil the US, Australia Poland and Greece. Almost 1,200 solar PV more than in Spain with projects across the whole country. In fact the renewable power history in Iberdrola is Spain is 2021 more than double its competitors. Also we have 1,000 new megawatts in Portugal at the Tâmega giga battery after completing the construction of two of these three facilities Gouvães and Daivoes. Finally, we put in even more than 160 megawatts of battery storage in Australia, Spain and UK including stand-alone batteries and hybrid facilities to provide backup for wind and solar PV. On top of that, we have closed 7,800 under construction, one-third of this capacity is in Spain, in solar PV and onshore wind project. Almost another 33% correspond to United States, mainly offshore wind but also in onshore wind and solar PV. And the remaining one-third is spread among offshore wind in Germany and France and onshore wind and solar in Brazil, Australia, Portugal, Greece, Poland, UK et cetera, et cetera. Where Scottish power recently in UK acquired a portfolio 17 solar project with a combined capacity of 300 megawatts in an advanced stage of development, positioning the company at the forefront of the solar industry in the country. In terms of contribution to result, all these new projects, one-third of total capacity under construction correspond to offshore wind. We generate between two and three times the energy per megawatt of solar PV and multiplies its EBITDA contribution almost for four times. In fact, offshore wind has become a major growth vector for the group, taking advantage of our position as first movers. After 50 years of the [indiscernible] we have 1300 in operation in German and UK, 2,600 under construction on track to be commissioned by 2025, 4,600 of secure project that will be operational between 2026 and 2027. In addition, we have growth opportunities to develop more than 26,000 from 2028 in our traditional market and other geographies with a strong potential as Japan, Sweden or Poland. In the last 12 months, we have taken major step in consolidating our position in the offshore wind. We have started the construction of the first large-scale offshore wind farm in the US Vineyard Wind 1, for which we also closed the financing in a transition recognized as the global ESG deal of the year by Project Finance International. We also reached an agreement with Copenhagen Infrastructure Partners to take full ownership of 2000 additional megawatts in New England corresponding to Park City Wind an 800-megawatt project with PPA already secured with Connecticut and 1200 megawatt Commonwealth Wind project awarded last December. As part of the project, we will transform Salem Harbor into Tier 1 offshore wind logistics center. We have reached an agreement with our cable supplier to create Massachusetts' first submarine, cable factory in Brayton Point at the same time at the same side where it was located, New England's largest coal-fired power plant. This shows the huge potential of offshore wind to create industrial development and jobs. In Europe, we will build Windanker, our third offshore farm in German Baltic Sea with 300 megawatts of capacity after Wikinger and the Baltic Eagle. Together, the three of them will have a total capacity for more than 1,100 megawatts. And in Scotland, Iberdrola has awarded the seabed rights to the below three areas for a total capacity of 7,000 including one fixed bottom side and two floating side in partnership with Shell. On top of that, we closed several deals then opened a new strategic market in Asia and Taiwan. Moving to Networks. Gross investment increased by 23% to reach €4,438 million. Our regulated network asset reached €33 billion, up €2 billion, driven by investment in distribution in all markets and the development as well of transmission projects mainly in Brazil and United States. This trend will continue in the coming years. A huge investment are needed to expand electrification with renewables and reach fully decarbonized energy system. As you know our listed subsidiaries Avangrid and Neoenergia released their result in these days showing a strong performance. In the United States, Avangrid net profit reached $707 million, up 22%. EBITDA increased by 7% on the period to $2,263 million. Likewise, investment increased by 20% to almost $3,300 million, mainly in networks where the company regulated asset base grew $1 billion to reach $11.7 billion. Network results benefit from a full year application of the New York rate case approved in November 2020 as well as the new tariff for United Illuminating in Connecticut agreed until 2023. Avangrid continues to reinforce in customer service and quality metrics as reflected by the received by all our utilities from Edison Electric Institute for their best-in-class response to -- following Hurricane Ida. The company has also made significant progress in the construction renewable project with 330 megawatts installed in the year including onshore wind and solar PV and 2500 under construction. As mentioned, Avangrid is pioneering the development of the offshore wind industry in the United States with 2800 under construction already to bill. Regarding P&L resources, the merger agreement was extended until 2023 -- at the mid of 2023 and a notice of appeal was filed with the Supreme Court in New Mexico against the decision of the State Public Regulatory Commission. So, we remain fully confident that the transaction we had received the federal and Texas State approval in New Mexico and New Mexico is supported by 23 of the 24 parties involved in the proceeding we'll go ahead. Moving to Neoenergia. The company net profit reached BRL 3,925 million, 40% more than in 2020. EBITDA increased 52% to BRL 9,156 million, driven by organic investment, which exceeded BRL 9,300 million up to 48%, the contribution of Neoenergia Brasilias in March, higher renewable production and tariff reviews and adjustment without fully reflecting higher cost. After Pernambuco and Brasília renewed this year, only Neoenergia's distribution companies have regulatory framework fixed at least to April 2023. In addition, Neoenergia results captured the additional revenues from transmission investment. In 2021, for instance, the company concluded the installation of 730 kilometers Jalapão line, the longest ever built by the company. All in all, our total regulated asset base in Brazil has exceeded BRL 34 billion, almost BRL 8 billion more than last year. This trend will continue in the coming years driven by new transmission project like the 500-kilowatt substation in the state of Minas Gerais, awarding transmission auction in last December. We also expect growth to accelerate in renewables with BRL 3.5 billion as invested in 2021. With tariff and annuities, project will be fully operational in the coming months, adding more than 1000 megawatts to the company wind capacity. As you know, the rebound in economic activities that started since last year is creating supply chain constraints in some raw materials as well as inflationary pressure in most economies. However, our balanced business and financial profile protect the company from potential impact in this scenario. Fixed rate debt amounts approximately 80% of the total of our average debt maturity -- of the total and our average debt maturity is six years. Close to 70% of our revenues came from A-rated countries in currencies such as dollar, euro, pound. Around 50% of our operating margin has an explicit hedge against rising inflation including all our activities in Brazil in most of our renewable PPAs. We expect cost inflation to be translated to prices in our remaining business as we already see a new power purchase agreement in the United States. At the same time, supply contract for 2022 are closed with prices already hedged of secure protecting ourselves from potential supply, bottlenecks, or price shocks. The resiliency of our business model is reflected in our strong cash flow generation. Operating cash flow increased 9% to €8,914 million. This has also a positive impact in our solvency ratios. Our liquidity position reached €19.5 billion covering 24 months of financial needs and we maintain our access to financial market in a very competitive terms. In 2021, Iberdrola signed almost €16 billion in new green financing, commercial paper, and credit lines linked to sustainability indicators, bringing our EAG financing to almost €39 billion. This transaction has consolidated Iberdrola as the largest corporate issuer of green bonds in the world. The good performance of the group in 2020 has allowed us to reaffirm our commitment to the enrollment of industry growth opportunities and jobs in all the regions where we operate. Following our strategy, the combined profitability with the highest environmental social and governance standard, this commitment was recognized by Standard & Poor assigned Iberdrola the base score of all energy companies globally and such you can see in the next with PricewaterhouseCoopers' report. In 2021, our emissions were reduced again to 60 grams per kilowatt hour in Europe almost four times lower than our competitors and peers in the continent. We have reached 388,000 renewable megawatt and we have no coal or fuel oil plants in operation, avoiding any write-offs of additional costs associated with the commission. In fact, this year, we demolished the chimneys of the coal plants of Velilla Spain and Longannet in Scotland showing that the move from fossil fuel to renewable energies has no way back. Just a week ago, Iberdrola was included among the top five companies that lead energy transition of all sectors according to the Clean200 global list. We are the first utility in the ranking. And we are promoting the carbonization hand-in-hand with our supply chains with purchases worth €12.2 billion just in 2021 to large medium and small companies, which employ 400,000 people. And in alliance with several organizations and companies from all sectors including financial groups like MAPFRE, Macquarie oil companies who know our partners in offshore wind like Shell, major players in the industry investing in green hydrogen like steel or fertilizers or in the mobility sector from Volkswagen to Volvos. One of the key areas in this alliance is innovation. Only last year we invested €340 million in R&D, making Iberdrola the most innovative product utility in the world according to the European Commission R&D scoreboard. With initiatives like Global Smart Grids Innovation Hub, we operate in Bilbao a few months ago. This center is bringing together more than 60 partners involving 120 projects to develop new solutions for the electricity grids of the future. An industry in transformation like ours can only be successful if we attract and retain the best talent. In 2021, we hired more than 5,500 people with 40% young professional under 30 years old. And we increased the training per employee to 59 hours, far above the average in Europe. We also continue promoting gender equality with women accounting now, for 31% of total management position in the group something that seems impossible in our sector a few years ago. In terms of financial reporting and disclosure we have in place GRI and SASB reporting standard and we have fully implemented the recommendation of the task force and climate-related financial disclosures in 2018. Our governance and sustainability system which is the basis of all our ESG activity has continued to receive international recognition in 2021, like best Corporate Governance Awards in Spain and the United States granted by World Finance. The result has allowed Iberdrola Board of Directors to propose to our AGM a shareholder remuneration of €0.44 per share an increase of close to 5%. For this proposed a supplementary dividend of €0.27 will be approved in the next Annual General Meeting to be distributed on top of the interim remuneration of €0.17 already paid this month delivering our commitment to an increasing shareholder dividend. I will now hand over to the CFO, who will present the results in detail.
Pepe Sainz: Thank you, Chairman. Good morning to all of you. Let me start with the nonrecurring post-tax impacts that we have been accounting in 2021 to adjust the income statement. €455 million corresponding to the U.K. deferred taxes when they have increased this tax from 19% to 25%. That will happen in 2023. So this is a non-cash item and it is accounted in the corporate tax line. €800 million after taxes due to Spanish court rulings and legal measures accounted in levies and net financial results; and €166 million after-tax is also corresponding to efficiency measures and nonrecurring provisions with positive FX in next years that we have taken in the fourth quarter as our reported results gave us margin to do them. So, the transition from the 2021 reported EBITDA that was over €12 billion up 20% versus last year, to the adjusted EBITDA in 2021 excludes €95 million of these efficiency measures. The rest of €266 million net of taxes are below the EBITDA line and the €913 million before taxes of the Spanish court rulings and legal measures. So after all these adjustments the EBITDA increased 11.4% to €11.2 billion. Revenues increased 18% to €39 billion and procurements 29.7% reaching €22 billion also affected by high prices of commodities. Gross margin grows by 5.7% to €17 million and 7.3% excluding €267 million of negative FX impact. Net operating expenses improved 1.4% to €4.2 billion. Excluding FX net operating expenses was almost flat as higher costs driven by the new businesses growing workforce and efficiency plan costs were compensated by the contribution at other operating income from asset rotation which is included in the epigraph of net external services. As the Chairman has said, as a result of the current situation, distorting very much a result of the different divisions of the energy markets and the actual operation of these markets in the electricity production and customer relationship for this time, we have decided to report business on a two-segmental basis; network activities basically regulated and energy and production customer activities as a whole. In order to better reflect the evolution and dynamic of these businesses as most of our energy as the Chairman has said is sold to our customer base. If you need more information, our IR team will give you more granularity. Analyzing the results of these two businesses and starting by networks, EBITDA grew 12.8% to €5.4 billion. EBITDA grew in all geographies thanks to our investments that increase the asset base, thanks to the improvement of our quality service, continued efficiency measures and successful integration of new businesses. And you can see in the slide, Spain contributed 30%; Brazil reached 27%; the US 23%; and the UK contributed another 20%. In Spain, EBITDA grew 1.1% to €1.6 billion due to the positive contribution of new investments, €18 million of positive settlements from previous years, more than offsetting the lower remuneration that falls from 6% in 2020 to 58% in 2021. In Brazil, EBITDA grew 46% to BRL9.3 billion, driven by tariff updates and inflation linked adjustments in distribution. Lower energy losses and increased contribution from transmission and from the integration of our distribution company in Brasilia. As you know Brazil recognizes inflation on tariffs on an annual basis protecting the margins. In the US, IFRS EBITDA was 19% up to $1.5 billion due to higher investments and past cost recognitions in IFRS. US GAAP EBITDA amounted a little bit more $1,574 million over the -- $95 million over the IFRS EBITDA mainly due to higher regulatory assets. Finally, in the UK, EBITDA grew 1.6% to £900 million thanks to the higher asset base. Energy production and customer business EBITDA rose 24% to over €6.4 billion. Key drivers of the business were as follows; output was flat with renewable production increasing up 8% due to a 9% higher installed capacity, reaching above 38,000 megawatts installed, offset by lower thermal output. It included a net positive one-off of the Spanish court rulings and legal measures. There were higher wholesale prices negatively -- the higher wholesale prices negatively affected Spain and the UK businesses as we maintained previously agreed contracts with our customers at lower fixed prices. In addition, we had cold snaps that impacted negatively in Spain, Mexico and the international business, especially in the first quarter of 2021. So let me point out that on a like-for-like basis, excluding the different elements or one-offs that have affected, EBITDA was flat as the increase in the energy cost has not benefited the group as the Chairman has pointed out. In Spain, EBITDA was €2.7 billion, 25% up, excluding €930 million of Spanish court ruling and legal measures with 1.9% higher output driven by 9.5% higher renewable production. It additionally includes €230 million of asset rotation. Higher wholesale energy purchases at higher prices versus 2020 with output already sold at lower fixed prices depressed our margins. So all in all, as in -- for the whole business on a like-for-like basis, EBITDA grew around 10%. In the US, EBITDA increased 25% to €851 million with positive contribution from the Texas cold snap and increased installed capacity, but with lower output due to a 1.2 percentage points lower wind resource. In the UK, EBITDA fell 34% to £591 million in a context of higher energy procurement at higher prices as in Spain, due to larger-than-expected demand linked to weather conditions and the obligation to take clients at the last result tariff. The business was also affected by lower renewable production than expected. Offshore production was 8% lower than in 2020 and offshore production was 11% up due to East Anglia in full operations since the beginning of the year. In Mexico, EBITDA fell 9% to €921 million, due to a negative impact from the Texas cold snap and increase of access fees with gas costs not yet passed to tariffs. Partially, this was compensated by a 56% higher average operating capacity in renewables with 477 megawatts more in operation. In Brazil, EBITDA grew 60% to BRL 1.6 billion, as a consequence of the extension of our hydro concession to recover costs from previous years in our hydro plants 2.4 percentage points higher wind resource and a better performance from our Termopernambuco CCGT due to the drought. Finally in the international business, EBITDA fell 2% with higher contribution from Australia, France and Poland offset by lower production from the Germany offshore and by our supply business impacted by cold snaps, development costs and lower margins. Earnings before interest and taxes was up 32% to €7.3 billion. D&A was 5.6% up to €4.2 billion, but excluding FX grew 6.7%, mainly due to a larger asset base and activity. Provisions were down 6.6% to €467 million, as a consequence of lower bad debt provisions related to COVID as collections improved. Net financial expenses were flat around €1 billion with the increase in debt-related costs, mostly compensated by the improvement in non-debt-related costs that includes several positive one-offs. Debt-related costs increased €136 million due to the higher cost of debt that increased 42 basis points to 3.6% due to a higher cost of our Brazilian inflation-linked debt more than offset this higher cost at the EBITDA level by revenues indexed to inflation. Excluding Brazil, cost of debt decreased to 2.89%. Non-debt-related costs improved by €124 million, including one-offs linked to the Spanish court rulings, as I have said previously and Wallbox capital gains, partially compensated by the negative impact of positive FX hedges in 2020. As the Chairman has pointed out, Iberdrola balance sheet is well positioned for the rise in inflation and interest rates, as we have had a prudent approach in funding. Our debt is 80% fixed, if we include €4.7 billion of forward start swaps. As you can see in the slide, we have a fixed debt structure much higher than our fixed revenue structure. Our average life of debt is around six years. The only exception in our debt is Brazil which is inflation-linked index as revenues as I have commented are directly linked to Brazilian inflation. Our adjusted net debt was €39.1 billion affected by investments organic and nonorganic work in progress that grew €2 billion. FX and working capital impacts accounted for in the last quarter that will be mostly recovered in 2022. Our cash flow generation grew 8.6% to close to €9 billion. As a consequence, we maintained solid credit metrics. Our adjusted net debt EBITDA improved to 3.2x. Our FFO adjusted net debt reached 23%. Our retained cash flow adjusted net debt is 20.6% and our adjusted leverage improved to 41%. Reported net profit increased 7.6% to €3885 million excluding the already explained impacts from Spanish court rulings and legal measures the UK deferred taxes and efficiency measures and one-off provisions adjusted net profit reached €3705 million in line with the guidance provided previously. Thank you. And now the Chairman will conclude the presentation. 
Ignacio Galan: So thank you Pepe. As you have seen 2020 has been a good year for Iberdrola, thanks to our strong operational and operating performance in very complex market environment. The €10 billion invested have allowed us to increase our Network asset base and our renewable capacity, offsetting the negative impact of higher spot price in our retail activities. We also benefited from new tariff frameworks and continue improving our operating efficiency and financial structure. This positive trend is expected to continue in 2022. We will put in operation 3800 megawatts of new renewable capacity for a total of more than 7000 in just two years. And in Networks we will continue expanding our asset base both in distribution with tariff frameworks for 2022 already set in all countries and in transmission mainly in Brazil. These factors will drive a strong cash flow generation which along with our active debt management will maintain our financial strength. And we have several state work to protect the company for inflationary pressure as explained. As a consequence, we are reaffirming today our net profit guidance for 2022 to €4 billion to €4.2 billion and a dividend growing in line with net profit growth.  To conclude in this 2021 Iberdrola has delivered a strong result and has imposed its positioning to benefit from the investment cycle we are entering the industry driven by the ardent needs of cleaner and more competitive energy as well as [indiscernible] infrastructure. We are currently finalizing an update of our business plan for the coming years where as Ignacio was commenting we will show you in detail in our Capital Market Day in March 22nd. So I hope to see you in London. And now Ignacio we will start the Q&A session. Thank you. 
A - Ignacio Arambarri: Okay let's start with the Q&A session. First question comes from Javier Suarez Mediobanca and Rob Pulleyn Morgan Stanley. It's about the guidance €4.0 billion and €4.2 billion '22 guidance includes PNM Resources. If not, how we will compensate it? Does the €12 billion EBITDA indication still apply?
Ignacio Galan: So, we feel comfortable with our net profit outlook of €4 billion to €4.2 billion which even with the delay of PNM Resources contribution. Thanks to program [ph] side the normalization of the energy market, I think high prices affected as I mentioned negative to our retail activity in 2021, especially UK and other countries as well, higher regulated assets in Networks around €5 billion in both years in 2021 and 2022. We are going to install as I mentioned increase our capacity renewables in both years close to 7,300. We expect the recovery of wind results after a very unusual year. For instance, I think in Britain especially, this year in Britain, the production is increasing by 40% and close to 20% United States. And I think because I imagine you are going to make to me the question about the Spanish today, lower Iberlyzer in Spain, I think a partial is going to be compensated not only because of this increase in renewable production in installed power, but as well even in hydroelectric with Tamega. The Tamega River is beginning in operation at now already -- and as well in Brazil, what we are already in this moment almost doubling the production towards previous year. So -- and of course, we will continue with our operational efficiency, operational measures to reduce cost.
Ignacio Arambarri: Second question comes from Jorge Guimaraes, JB Capital and it is related to the reporting of this set of results. Should we read any strategic reorientation from the decision to merge the reporting lines of renewables and liberalized and supply?
Ignacio Galan: Well, I think as Pepe mentioned, we are committed with transparency. I think is -- we understand that this breakdown reflects better the reality of the dynamics of this particular situation. I said this particular situation of the markets. I think for one hand, we have already regulated network activity. That's clear. We would understand very well. And I think for this side, we have non-regulated activities that we sell to our renewable production and our production forward to our customers. And therefore, it makes no sense to reflect theoretical positive or negative margin between renewables and retail. They are not impacting our consolidated basis. So we are not already selling at full prices. So we are selling at fixed prices with our customers and according with the costs we are already generating. So, I think that for this reason, I think that already gives already more clarity in this particular price scenario. So, I think you can imagine, if there are any additional cost we have to pass already to the customers if there are any increases for whatever reason. And I think that's why I think they gave better. What are we going to do in the future? Well, Investor Relations will explain to you. But I think, I would like to say that that is very particular scenario we are seeing. We have not really seen a situation when the prices move from €50 to €200 at the full prices, but we've not been selling at €200. I think I would like to insist, if instead of selling at the price we've been selling, we've been -- we had already been selling at €200. Our results had already doubled. So I think that is a good clear message and we are not really win for profit. So the win for profit was not a reality, because we not -- never been selling our power, our energy at the full prices especially in the Spanish market. Just the opposite, I think the opposite that we had already been keeping and maintaining our policy of fixed prices to our customers and that has already in many countries has already produced already negative effect, not only not benefiting by negative effect because in the case we have not already in that part will be forced to buy already in the market at the higher prices, which is for instance the case of United Kingdom.
Ignacio Arambarri: Next question comes from Ahmed Farman. Do we expect further regulatory intervention as prices remain high? Ahmed comes from Jefferies, sorry.
Ignacio Galan: So I think the European Commission has reacted quickly to the current price environment scenario publishing a toolbox. I would like to emphasize this one, because I think it has already been a clear rule will have to be made. For one side stayed the reason of the current prices is -- there is -- the gas is responsible on that one. The second one is we have in the market principle and the good functioning of the CO2 market, the ETS. The third one are just, the member state to accelerate the deployment of renewables. Now even it's more or less needed, not only for because of the prices of the emission but as well for diminishing the external dependency of energy. We are already suffering this moment, problem of supplies because they are already -- we have external dependencies. Instead of that we will have already our own energy production that will help on that one, include as well measures to lower energy bills, mainly to rental customers without affecting the market. It incentivate bilateral contracts exactly what we are doing. I think we need to make more and more bilateral contracts. So I think thanks of this bilateral contract in our case, we have already managed to maintain the prices to our customers. And the bill mostly has not been affected to most of our customers for this changing of the spot market. I think we have not really had that one. I think the situation will be much worse. So I think it's -- I think the situation in UK with intervention a few years ago with the price cap shows that artificial market intervention usually provide a desired result to customers and taxpayers at the same time then damaging the retail companies as well. In any case, I think it's -- I would like to insist, we have not already had wind profit as you can see in our 2021 result. But I would like to be clear, any tax increases is an increase in cost. And if there are any increase in costs that will reflect in the price in one manner [ph] in the future. 
Ignacio Arambarri: Next question comes from Gonzalo Sánchez-Bordona, UBS; and Jorge Guimarães, JB Capital. What is your expectation regarding the clawbacks in Spain? Do you think the gas clawback will be extended beyond Q1 2022? When do you expect the CO2 clawback to be passed and in which form?
Ignacio Galan: So I would like to insist already that the European Commission has already said about the situation of prices. I think this toolbox reaffirms the principle of the good function in the CO2 market, identify the gas as the reason of the current prices. As members state to accelerate deployment of renewables including measures to reduce bill, mainly to bill renewables, incentivate bilateral contracts let me -- I would like to insist because I think it's clear at this point. Nevertheless, I will give you a final idea when we see the final outcome. I would like -- I'd only to give you some data, some numbers. The cover actions revenues according with European have to be used to protect the vulnerable customer in European Union that is what you recommend. I think only in the case of Spain, the collection this year at today's prices the carbon prices is close to €6 billion, €6 billion which can be easily to be used for already those which are renewables and network. I would like to insist again, if there are any additional cost in our prices with whatever type of taxes, charges or whatever thing that increased the cost of power generation. And that will already force to modify and increase the prices to our consumers. The fact our contracts with the customers at a fixed price is reflecting this possibility. 
Ignacio Arambarri: Next question comes from Harry Wyburd, Bank of America Merrill Lynch; Javier Suarez, Mediobanca; Jorge Alonso, Société Générale; and Ahmed Farman, Jefferies. Can you give us details for your forward selling strategy in Spain and the UK in terms of volume and prices? Would you expect positive outlook prices to persist in 2023 and beyond? 
Ignacio Galan: So selling strategy Armando, you can already explain this one. So I think it's selling -- you mentioned selling strategy and explain how it will position in our pricing that is the question.
Armando Martinez: This trend 
Ignacio Galan: You make the comments. 
Armando Martinez: Okay. Good morning, everybody. Okay for us let me try to give you some flavor about the retail business. For instance in 2021, we have sold around €85 per kilowatt hours. One include all costs of retail margin that is all the costs. But this is equivalent to around €60 of wholesale price. Okay, for our product for our own production. So this price will continue at the same level more or less 2022. And this will allow us to maintain the strategy of providing long-term contracts and when they fix prices to our customers this is what we are doing now to try to sell fixed prices to alleviate the high prices of energy. I think it's very important to know as the Chairman is saying that we are not benefiting for any windfall profits. We are able to sell our own [indiscernible] around a price that is slightly higher than the cost itself of the -- of our production. And in the UK, I think, the Chairman has explained about what is the situation now with the price cap and we will see what is going on in the next months. 
Ignacio Arambarri: Next question comes from Jorge Alonso, Société Générale and is related to kind of additional color in the UK supply unit for 2022. 
Ignacio Galan: So perhaps you can already explain Armando. 
Armando Martinez: Okay. So again going back to our -- I think you know how having the situation of the UKs retail business last year very impressed about this price cap. And again, I think, the situation now, the result of a very poor design of a price floor. The price cap has become the price floor. I want to remind again and repeat that this is when you intervene the markets like this, the situation is something that we are seeing in the UK. And the situation is that more than 30 retailers has been failed during the situation. And this has an extremely high cost that will be paid for the taxpayers. We have been waiting for Ovian [ph] in order to have a response of this situation and we heard about that, the price cap update. I think we have gone in a positive direction, but that does include all the costs and we will see what this is going on about methodology for the next price cap, thinks about many things we still hear about how to do that. But again, this is a perfect example of what happens with marketing intervention. And at the end, this measure don't work. And combined sales, customers are not benefited and taxpayers need to pay the cost.
Ignacio Galan: So, I think -- nevertheless, I think, as I mentioned before, I think, it's the measure already taken are in the good direction. I think we're recognizing mostly the cost incurred, but I think it still is not enough. I think that we have already generated certain losses in the past. And then, one way or another will have to be compensated. I think for the time being, they are trying to solve the future, but this is not still solving what we have already suffered in the past. I think, we have already, now, in talks with the regulator and will hope that we’ll reach a good agreement for the future. I think, it's positive, the move, but it's not enough.
Ignacio Arambarri: Next question comes from Alberto Gandolfi Goldman Sachs. Can you update on the IRRs you are seeing on recent renewable awards? And are you seeing PPAs, FITs adjusting to reflect equipment cost inflation?
Ignacio Galan: So, I think, as I mentioned, we sell most of the energy to our customers. So we are not already dependent of the auction. So I think we're dependent of the market condition. I think, it's clear the competition in this segment is increasing in the market. And I think that is impacting the lower added-value technologies -- is impacting more to lower added-value technologies like PV, then other like offshore. I think we are convinced that offshore gave good opportunities. And that's why, we are already in that one and the spread in this segment still is much higher than the other one. Nevertheless, I think, we are seeing the prices are increasing in most, either in the -- especially in the PPAs, partially to the higher CapEx. I think I was already, last week, in the United States and I was talking with our people there. And the PPA, they are signing this moment at already higher prices than they were before, because I think simply because the CapEx, I think, is higher than they were. So, nevertheless, I think, we have already entered the second, who can already provide you more detail on the 2nd of March of all these things in our Capital Market Day. But I think, certain, the prices are going to be affected, higher prices, because higher CapEx. But I think, in our case, most of the electricity is not depending of action. It's depending how agile we are already to move in the different markets.
Ignacio Arambarri: Ahmed Farman and Harry from Jefferies -- sorry, Harry Wyburd from Bank of America are interested in knowing the potential spin-off of the offshore wind business.
Ignacio Galan: I would like to say that, in this moment is not in our table. As you know, we are already now focused in a different manner with more partnership with other companies, as you have already seen and I already presented. But there still is an auction. So I think it's not in our table, but it's an option. But now we are focused in partnership with other companies more than making already an IPO in the second segment.
Ignacio Arambarri: Same professional want to know the latest trend in input cost of our investments.
Ignacio Galan: The input cost? Latest trends, I think with our input cost, okay. So, so far I think, we have around 708,000 megawatts under construction as I mentioned, and I have to say that. And I think that was informed last week in the state as well. We have only been affected in two solar projects United States with altogether is €100 million. If I do remember that one is co-win [ph] and another one B grade B or 1B or something like that. I think 300 megawatt in 7,800. And I think the news I got I think that was because of the suppliers on solar panels. But I think because they had certain delays. But I think as far as, I know that has been already solved. The terms have been agreed and that in their respective then these started to receive, during this quarter and beginning next quarter. So I think we are going to have major delays on that one. In terms of – for the future for 2022, I mentioned, already our equipment, I think is mostly purchased globally. We have already advanced orders in the last two years for €20 billion, as I've been telling you during the last meetings. 80%, 90% of this CapEx are already fixed, costs before we take the investment decision. So I think we fixed the prices of the equipment prior of taking the discussion on investment. And I think also we use hedges for our major procurement costs especially in things, which are related with FX which I think Pepe has already good work on that one for avoiding surprises in this area.
Ignacio Arambarri: Next question comes from José Ruiz, Barclays and Jorge Alonso Societe Generale, and is the following. How will you cover the shortfall in hydro production in Q1 in Spain? Will there be a cost implied in this move?
Ignacio Galan: Well, as I mentioned already, we have already our energy result. All our estimates contemplate already this scenario. I think, we have enough power in CCGTs for already providing this. But I think as I mentioned, I think Spain is a piece in the global and Spain can be affected in hydro. But I think Spain and Portugal are really its end market. Tamega is already now in operation. Tamega alone is 1,000 – almost 1,000 megawatt of power, which I think is roughly 10% of our total hydroelectric power player in Spain. So also, I think we have already compensated with as well with other countries with a win and the new renewable, we are building in the country. So I think we are not any longer a company, we are depending on hydroelectric condition of Spain. We are a company where we are much global. And I think, if the Spanish, last year was already very low production of wind as I mentioned in UK, or very bad year in wind as well in United States, with this year it's presented in the opposite direction much higher production. In the past was already – last year was very bad in Brazil. This year we almost doubling the production hydrogen in Brazil. So I think that will affect but in the global terms will not already affect almost nothing because we'll be compensated with the production in other places.
Ignacio Arambarri: Question 11 comes from Alberto Gandolfini, Goldman Sachs. My opinion is that has something to do with the next 2022 March event, but I'm going to write it. There seems to be no shortage in opportunities in green energy. How do you plan to fund this while still creating value for shareholders? Do you still see balance sheet headroom? Or do you need disposals?
Ignacio Galan: Well, as you mentioned very well I think it's a question that we are going to comment to you in the next Investor Day in the 22nd of March. But probably we'll use all means for already funding that one. I think we have already plenty of ideas, plenty of ideas how to finance all those things. No, no of course, not equity as Pepe mentioned to me, not equity. Certainly not. 
Ignacio Arambarri: Next question from Rob Pulleyn, Morgan Stanley and is regarding PNM deal. What gives Iberdrola confidence, it can overturn the existing opposition to the real and that this will proceed in 2023?
Ignacio Galan: Well I think the opposition doesn't exist. I think it's – I think either for the 23 of the 24 parts involved in the deal, which represent all the sectors of the New Mexico economy and the New Mexico population are in favor. So the second one, we have the full political support of that one. The third one, we have all federal permits is only that one. I think I heard already that the attorney general also is already taking action against the regulator. And we are already in this moment already went together with PNM to the Supreme Court of New Mexico because the decision they took nobody understands. I think it's 23 parts of the 24 is already approving and supporting that one, which are those parts represent the immense majority of the New Mexican people. And that's why I think the attorney general and the government and the society are very supportive. So I think we are very confident that that is going to happen. So that's why we already went to Supreme Court and we expect that we have for the positive hands in the near future.
Ignacio Arambarri: Next question comes from Harry Wyburd, Bank of America; Jorge Guimaraes, JB Capital; and Jorge Alonso, Societe General. What is the current outlook in Mexico, given recent comment from Mr. Amlo? Are you confident you can maintain your operation and earnings? 
Ignacio Galan: Well, I have to say that we continue prorating normal in the normal condition. So I think they are already a constitutional reform which is still in the Congress. I think we will see how it evolves and we will see what is the final decision. And I think it's the level of availability and utilization of our plan is well above 80%. So I think it's well in the normality. So I think that's what I can say.
Ignacio Arambarri: Next question comes from Gonzalo Sánchez-Bordona, UBS and probably related to Pepe. What is the reason for the negative working capital evolution in Q4 and which amount do you expect to recover and when?
Ignacio Galan: Pepe? 
Pepe Sainz: Yes, hi, Gonzalo. I mean, yes, we had a relatively large impact. The largest part of the impact comes from the VAT. As you know well, the VAT is paid on the spot prices as the spot prices were high we had to pay the 21%. But in addition to that now, we are charging a 10% to customers. So there is a big distortion there. And well, more than 500 million and we are expecting to recover that in six months. The other element has been that we have a volatility in commodities derivative settlements obviously. We are expecting also to recover that. It is difficult to say but we will -- we are expecting to recover that also. And finally, there was some delays in invoicing due to all the regulatory changes that we have seen in Spain and obviously that will be recovered in the next month. So, I would say that between three and six months, we will recover most of the negative working capital movements.
Ignacio Arambarri: Next question is come from Javier Suarez, Mediobanca and is related to the Senate case and the possible calendar of this thing.
Ignacio Galan: So, I think regarding this case, we have already provided all the information to the investigation. I think we've been for years not having access to the files and we had already offered last year to the investigation team at the testimony of any Director or employee of the company. I think finally, we have already had the opportunity of making these testimonies. And this matter now is in the hands of our legal services. Maybe I think Gerardo Codes, our Business Legal Director, can give you more detail. Gerardo, can you explain?
Gerardo Codes: Okay Chairman, thank you. The latest facts clearly show that the investigation is being promoted by our competitor who is using his position in the process to try to damage the company's reputation in its self-interest, okay? So the procedure could still take some time. After the testimony, in this case is now only one more of the thousands that we have all over the world, because we maintain the same conclusion. There is no regular conduct for any employee or director based on the conclusions of the internal investigation which is based on an independent forensic carried out by PwC with no limitation and all the clarifications given to the judge by employees and directors. We have asked for legal opinions to different Spanish and international law firms, Garrigues, Baker McKenzie, Allen & Overy and their conclusion are that. There is no case under Spanish law. And under UK and US law, this case against the directors and employees that are currently in Iberdrola, would not even be presented by a prosecutor to a court or a jury.
Ignacio Galan: So thank you very much. Ignacio, more questions?
Ignacio Arambarri: Okay. No. As today's a day full of results, we want to keep our commitment to be in relation to the duration of this conference call. And this is why I'm now passing the floor or give you the floor to conclude this event Mr. Galan.
Ignacio Galan: So, thank you very much for taking part of this conference call. Let me remind that as always, our Investor Relations team will be available for any further information you may require. And in a month, we will be present in London. And we will update our business plan in our next capital market, and I'll be very pleased to have the opportunity to meet all of you. Thank you very much and see you in March. Thank you.